Operator: Ladies and gentlemen, good day, and welcome to Leonardo DRS First Quarter Fiscal Year 2024 Earnings Conference Call. [Operator Instructions] As a reminder, this event is being recorded. I would now like to turn the conference over to Steve Vather, Senior Vice President of Investor Relations and Corporate Finance. Please go ahead. 
Stephen Vather: Good morning, and welcome, everyone. Thanks for participating on today's quarterly earnings conference call. With me today are Bill Lynn, our Chairman and CEO; and Mike Dippold, our CFO. They will discuss our strategy, operational highlights, financial results and forward outlook. Today's call is being webcast on the Investor Relations portion of the website, where you will also find the earnings release and supplemental presentation. Management may also make forward-looking statements during the call regarding future events, anticipated future trends and the anticipated future performance of the company. We caution you that such statements are not guarantees of future performance and involve risks and uncertainties that are difficult to predict. Actual results may differ materially from those projected in the forward-looking statements due to a variety of factors. For a full discussion of these risk factors, please refer to our latest Form 10-K and our other SEC filings. We undertake no obligation to update any of the forward-looking statements made on this call. During this call, management will also discuss non-GAAP financial measures, which we believe provide useful information for investors. These non-GAAP measures should not be evaluated in isolation or as a substitute for GAAP performance measures. You can find a reconciliation of the non-GAAP measures discussed on this call in our earnings release. At this time, I'll turn the call over to Bill. Bill? 
William Lynn: Thanks, Steve, and thank you all for joining us this morning. It was great connecting with many of you at our recent Investor Day in New York. Just as a quick recap, we laid out a compelling investment case for DRS. And as many of you know, we are a unique story amidst a very scarce universe of smid-cap defense technology companies. Our diverse and platform agnostic portfolio is well aligned to customer priorities in areas of healthy demand. This is apparent in the steady pace of bookings, including the $815 million secured this quarter. As a result, our backlog visibility continues to build, and this combined with our multipronged growth strategy is demonstrating a clear path to mid-single-digit organic growth over the next few years. Our Q1 results, 2024 guidance and multiyear targets all reflect the solid confidence we have in our portfolio and competitive positioning. I want to reiterate that foundational to DRS's strong market positioning, our people, innovation and the technology differentiation we have built over 5 decades. We continue to sharpen our investments in R&D and CapEx to increase our distinct edge and that of our customers. We remain focused on executing on our strategy to drive outcomes for our customers and our shareholders. This focus is evident in our exceptional quarterly results. These results were all well ahead of our expectations for the quarter. Our strong Q1 financial performance is a direct outcome of an initiative to drive incrementally better quarterly linearity. I'm pleased with the solid start to the year as it places us on a nice path to deliver on our 2024 commitments. 
 Let me review a couple of specifics. Our revenue growth was entirely organic and accelerated to 21% year-over-year. We continue to convert strong customer demand into bookings and drove a 1.2 book-to-bill ratio in Q1. Customer demand continues to be evident and well-distributed throughout our diverse portfolio. This quarter, we saw a robust bookings from international customers, seeking our solutions in advanced infrared sensing, tactical radars and air defense systems. Furthermore, with respect to domestic customers, we saw a clear demand for our naval network computing and our electric power and propulsion technologies. We delivered another consecutive quarter of healthy bookings, which pushed our backlog to a new company record of $7.8 billion, up 84% year-over-year and also up sequentially. In addition to our robust backlog and contract awards, we are continuing to position ourselves to capture adjacent market opportunities to further solidify and accelerate our future growth. Last but not least, we delivered impressive profit growth in Q1. Adjusted EBITDA was up 43% and margin expanded by 160 basis points. We also saw both adjusted net earnings and adjusted diluted EPS increased by 100% over last year. There's no question that our extraordinary people are responsible for these spectacular roof results. Their steadfast focus on our customers and their critical missions are demonstrated in our Q1 financials.
 Moving to an update on the operating environment. We are pleased to see the passage of FY '24 defense appropriations, which gives our customers the necessary funding clarity to execute their missions. Additionally, the President's FY '25 budget request called for $850 billion for defense. This represents a 1% growth over enacted FY '24 and is in line with previously agreed-upon levels. We are pleased to see bipartisan action on supporting our allies in Ukraine, Israel and Taiwan via the recent passage of the $95 billion defense supplemental. Again, while we have limited direct sales into either ongoing conflict, the passage of a defense supplemental should serve as a tailwind to our customers and their modernization efforts, which presents a long-term opportunity for DRS. As a reminder, our 3-year targets offered at our Investor Day already incorporate the budget environment I just discussed. Overall, our portfolio continues to be well funded. We are closely aligned to areas of customer priority and our capabilities in advanced sensing, network computing, force protection and electric power and propulsion continue to be critical in supporting their important missions. 
 Over the past year, I have consistently highlighted the broad-based strength coming from across our portfolio. The sources of our growth and opportunity continue to be well diversified. Our customers are focused on maintaining capability advantage over adversaries, and we are pleased to partner with them to enhance their competitive edge. Let me spotlight a couple of notable items this quarter. In the sensing arena, we are experiencing strong demand for our capabilities in advanced infrared across mission applications, and we are finding some early success in implementing our technology into missiles. Additionally, we are seeing expansion opportunities, both from domestic and international customers for our best-of-breed electronic warfare solutions, particularly as the importance of multi-mission EW capabilities grows. Maxstar radar business continues to evolve into new domains and mission applications. I am pleased to announce that we recently won an expanded role as a design agent on a shipboard expand radar. Furthermore, our tactical radar business is experiencing steady demand for a variety of missions spanning air defense, counter UAS and active protection. We are proud that our tactical radars were a critical component in the missile defense capabilities deployed in Israel against recent Iranian hostile actions. The global conflicts continue to reinforce the growing and evolving threats facing our platforms and our people. Force protection is not an option. It is an imperative. 
 As a result and in addition to what I just mentioned on tactical radars, we are seeing heightened global demand for our infrared countermeasures to protect rotary and fixed wing aircraft from surface to air missiles as well as other emerging threats. The expansion of our force protection business is also evident in the Army's desired growth from 4 to 9 short-range air defense battalions. In the face of evolving threats, agility is invaluable and the ability to scale and modify capabilities rapidly and efficiently is critical. We recognize this need in our network computing business. We recently unveiled a new mounted form factor mission system to address the Army's initiative focused on open standards. Our new network compute offering is fully compliant with these standards and will enable our customers to continuously fuel future capabilities. We are excited that to have a compelling solution that supports the Army's modernization vision. 
 Lastly, I wanted to briefly touch on our electric power and propulsion business. Recently, the Secretary of the Navy ordered a 45-day shipbuilding review. The findings from this analysis indicated multiyear delays for several shipbuilding programs. While we are not the source of these delays, I want to highlight that we are focused on supporting our customers by maintaining schedule and quality for our content as well as positioning to take on more scope as appropriate to help address these challenges over the long term. As previously discussed, our future facility in South Carolina affords us the ability to execute the Columbia-Class program more efficiently, but also sets up to support shipbuilding capacity expansion. Additionally, we would expect that some portion of the robust funding and investment for the submarine industrial base in the recent defense supplemental could be made available to us as we look to support the Navy in this key initiative. 
 While the delays on current production programs have pressured the timing of future platforms such as DDGX and SSNX is worth reminding you that both of those platforms represent long-term opportunity for DRS, but do not impact our near- or medium-term growth prospects. We believe that our electric power and propulsion technology provides multifaceted strategic advantages to customers, particularly given growing power platform requirements and the need to operate discretely around the globe. In that context, I am pleased to report that we continue to expand our naval propulsion content and were recently awarded follow-on work to provide our hybrid electric solution for U.S. Coast guard offshore patrol cutters. We are continuing to see opportunities with navy's and coast guards around the world as they modernize their fleets with next-generation platforms. Overall, I am quite pleased with DRS's market position and its growth prospects that lie ahead for the business. Our team continues to execute well, and that is clearly represented in the quarterly results. That said, we remain focused on driving value creation over the long term for our customers, shareholders and employees. Now I'd like to turn the call over to Mike so that he can walk you through our financials in more detail. 
Michael Dippold: Thanks, Bill. I'm excited to discuss our financial results in greater detail. Before I get to that, let me express my heartfelt thanks to the team for helping execute another remarkable quarter. As Bill mentioned, we are working to make progress towards better linearity in our financial performance, and that is certainly evident in our Q1 results. In the quarter, we experienced year-over-year growth of 21%, again, all organic. A significant portion of the growth was driven by our naval power programs, namely Columbia-Class, but momentum for our ground system's integration, advanced sensing and naval network computing efforts were also strong contributors to the performance in the quarter. 
 Moving to the segment view. ASC segment revenues were up 11% due to growth in programs related to advanced infrared sensing, naval and ground network computing as well as tactical radars. Our IMS segment revenues were up an impressive 38% year-over-year, with strong performance apparent across the segment, but growth of our  Columbia-Class program was certainly a key driver. Now to adjusted EBITDA. Adjusted EBITDA in the quarter was $70 million, representing significant growth of 43% from last year. As previously discussed, our period expensing of G&A means incremental volume typically drops to the bottom line. And in Q1, this definitely rang true. The increased volume also translated to adjusted EBITDA margin expansion of 160 basis points, taking margin to 10.2% in Q1. On a segment basis, ASC segment adjusted EBITDA increased by 11%, but margin was flat due to less favorable program mix offsetting the higher volume. IMS segment adjusted EBITDA was up 142% and margin was 480 basis points higher than last year due to continued momentum on naval power programs led by the Columbia-Class. 
 Moving to the bottom line metrics. First quarter net earnings were $29 million and diluted EPS was $0.11 a share, up 142% and 120%, respectively. Our adjusted net earnings of $38 million and adjusted diluted EPS of $0.14 a share were both up 100%. The overwhelming driver of the increases came from strong operational execution. However, lower interest expense and a lower effective tax rate were also slight tailwinds. Moving to free cash flow. Cash collections followed historical Q1 trends with an outflow in the quarter. That said, we saw favorable year-over-year trending with a significantly smaller free cash flow use of $275 million compared to Q1 2023. The narrowed cash usage was driven by more efficient working capital, improved net profitability and reduced capital expenditures. Note that favorable timing of cash receipts from customers aided our working capital position in the quarter, but this will revert some in Q2. As discussed last quarter, we are embarking on a $120 million new facility investment in South Carolina. This will result in elevated CapEx compared to historical norms in 2024 and for the next few years. That said, despite a lighter CapEx outlay in Q1, I would expect the remaining quarters to tick up considerably from here. Additionally, similar to prior years, we expect that free cash generation will build throughout the year with the bulk of collections coming in the fourth quarter. 
 Now to a few comments on our 2024 outlook. We are reiterating the strong view issued on our last call. Let me quickly review our expectations across metrics. Revenue will be between $2.925 billion and $3.025 billion, which represents a 4% to 7% growth, all of which is organic. The primary factors driving variability in the range are the timing of material receipts, progress of labor inputs as well as the level and pacing of customer orders. For adjusted EBITDA, the range is between $365 million and $390 million. We continue to expect healthy margin improvement year-over-year as we transition our development programs to production, which includes the Columbia-Class, among others. Adjusted diluted EPS remains between $0.74 and $0.82 per share, embedded in this range, our tax rate of 22.5% and 268 million fully diluted shares. Depreciation should be 2.4% of revenue and CapEx should approach 4% of sales. Lastly, we are targeting 80% free cash flow conversion of adjusted net earnings for the year. We are pleased with the Q1 momentum, I want to reiterate that a significant portion of the outperformance was attributable to favorable timing. Right now, Q2 is shaping up to look a lot like our Q1 actuals with revenue in the high 600s and adjusted EBITDA profitability in a low 10% range. Additionally, we are expecting a modest free cash outflow as some of the favorable cash receipt timing reverses from this quarter. Let me wrap up with a few quick closing thoughts. We are pleased with our year-to-date performance and commend the broader team in achieving these results. That said, we are maintaining a steadfast focus on driving execution to meet our commitments to our customers and shareholders. With that, we are ready to take your questions. 
Operator: Thank you. At this time, we will begin the question-and-answer session. [Operator Instructions] Please stand by while we compile the Q&A roster. Our first question comes from the line of Peter Arment with Baird. 
Peter Arment: Bill, Mike, Steve. Nice results. Hey, Bill, you touched upon force protection and the demand signals there, obviously, are very strong. Can you maybe talk about if you're seeing an increased amount of development opportunities for DRS? And just how do we think about maybe the current pipeline of force protection work? And then, I guess related to that, is maybe you could touch upon just the force structure, the pickup that the Army is doing, a doubling of short-range air defense vehicles and the opportunity for DRS? 
William Lynn: Yes. Thanks, Peter. On the last point, we were pleased to see that as the Army did its biannual review of its force structure even though the overall force structure contracted, the end strength went down. They more than doubled the commitment to force protection, particularly short-range air defense. So we think that reflects, I think, the immediate lessons of Ukraine, but the longer-term trends that have been going on in the last few years that led them to contract with us to do with the M-SHORAD to begin with. As you indicated, there are still development opportunities for newer versions and different types of systems. The one that we're working most actively now is called M-LIDS, which is the counter UAS system. It's a little bit -- a more targeted version of a short-range air defense system. We're in the -- we put the first version out and the Army is buying it. The second version, which will take 2 vehicle -- a 2-vehicle solution and combine it into a single vehicle solution is, we're just finishing the development of that now and the Army is going to -- they like that enough that they're going to cut over their existing buy into that. And so we think that this is going to continue to progress down the line. And we think DRS with its portfolio of Force Protection Solutions is very well positioned to ride this trend. 
Peter Arment: Yes. And can you talk, I guess, a little bit about the RADA business? I mean, tactical radars, obviously, are probably -- the demand is insatiable, I'm sure, off the charts. Can you maybe just talk about how that business is doing just given the conflict of Israel? 
William Lynn: Yes. We don't give guidance at the business level, but you're right that we are running that business 24/7 at this point. Given the demand, not only in Israel and Ukraine, but what that's triggered in militaries around the world as it's exposed force protection, vulnerability to organic units. You've reached a point now where you can't just protect forces at the edge of the battlefield. It kind of a perimeter defense. You have to have defense that's organic to units. I think that's what Ukraine in particular has shown. And a key element of that force protection is tactical radars and RADA has a leading, if not the leading, solution, and we are seeing increasing demand. So we're pleased with the acquisition we made 18 months ago. 
Peter Arment: And just, lastly, a quick one for Mike. Just could you maybe talk a little bit about working capital trends for the rest of the year? I know as Columbia 3 ramps up and just kind of the cadence of the year, which is obviously seasonal and picks up into the back half of the year? 
Michael Dippold: Yes. I don't think you're going to see too much dissimilarity to what you've seen in the prior years. I think the trend is going to be pretty much the same. Obviously, we've got out to a little better start here in Q1, but I'll remind you that that's going to be a little bit offset as we progress the year because of the capital outlays for the South Carolina facility. So I would still expect a lot of the cash generation to occur in the fourth quarter, albeit hopefully at a little better linearity than we've seen in the past. 
Operator: One moment for our next question. Our next question comes from the line of Robert Stallard with Vertical Research. 
Robert Stallard: Bill, maybe I'll start with you. A couple of questions. First of all, on the DoD budget outlook in FY '25, where you start to see the military doing some trimming of perhaps what you might say, lower priority areas. Is there any risk of a knock-on impact on DRS from any of these changes? 
Stephen Vather: Yes. Rob, I think the budget has come out about where we expected. It took a long time in multiple CRs, but the '24 budget finally emerged, and it emerged at the level that President Biden and then speaker McCarthy agreed to last summer. And on top of that, the supplemental was passed at the expected level, the requested level, and then the '25 budget came out, again at the expected and the agreed-upon level. So the expectations we had in building our plan, I think, were fulfilled to your kind of broader point. Is that forcing trade-offs? Yes, it clearly is. And I think it's gone down the path that we've predicted, which is those trade-offs start with platforms, whether it's the Virginia-Class submarine or the cancellation of the FARA helicopter. That's where the services have gone and that kind of confirms our philosophy of being platform agnostic so that when platforms are delayed or canceled and upgrades replace them, we're positioned to move on those upgrades just as easily as we were positioned to put our electronics and sensing and other equipment on new platforms. So we think that dexterity, the agility to move between upgrades and platforms has been confirmed by the recent budget decisions. 
Robert Stallard: And just a follow-up. I mean has there been any changes on the M&A pipeline at this stage? 
Stephen Vather: Nothing that I can report in terms of specifics. We have a robust pipeline. We're actively engaged in reviewing those -- those opportunities. Our criteria remain the same. We want -- and we think we are seeing opportunities that are a strategic fit to our core market. They need, financially, to be EPS accretive. They need to have returns above our weighted average cost of capital, at least over 3 or 4 years, and they need to support our strategic growth and margin expansion path. So we're continuing to review against those criteria. We are finding opportunities, but we don't have anything that we have gotten to the decision stage and are ready to announce yet. 
Robert Stallard: And then just finally, one for Mike. The $4 million of restructuring in the quarter, I don't know if you could elaborate on what's behind that? 
Michael Dippold: Yes. This is actually just a continuation, Rob, of what we announced last year with the Canadian facility reorganization. It's really just the accounting treatment and that you kind of have that accrue for the severance when the commitment date for the employees was reached. So we're kind of accruing it over time. But this is that effort that we put forth last year where we detailed the savings associated with this facility consolidation, and this is just the kind of tail end of that. 
Operator: One moment for next question. Our next question comes from the line of Seth Seifman with JPMorgan. 
Seth Seifman: Thanks very much, good morning, everyone. Wanted to -- just to dig in on the sales outlook for the rest of the year. It seems that if Q2 kind of looks like Q1, then the implication is really not very much growth at all in the back half of the year. And I know that the comps get tougher, so that makes sense on some level, but also we see the growth in the backlog, and we see the demand environment. And so, I mean it would seem after this performance at the first -- in the first quarter that the balance of risk in the sales outlook is pretty clearly to the upside? 
Stephen Vather: Yes. I would take that to say that I think a lot of the performance and overperformance was a little bit of a pull forward as we improved the linearity. I think that's a piece of it. And we still want to see how the cadence of the orders play out for the rest of the year. Certainly pleased about where we are in Q1, certainly think that we are positioned to execute within the guide range that we put forth, and that's kind of where we are today, Seth. 
Seth Seifman: Okay. Okay. And I know that you don't -- you guys don't have segment guidance, but maybe at a qualitative level, if we think about Q2 sales and EBITDA kind of looking like Q1, is that -- is that similar in the segments? Or were there certain pieces of goodness on Colombia, for example, in the first quarter that helped out there that aren't necessarily recurring? And then maybe there's some opportunity for kind of gradual improvement through the year in advanced sensing and computing? 
Stephen Vather: Yes, good question. And you've got it pretty much nailed. So what we saw in the ASC segment in Q1 was a little bit of more revenue contribution from the development type programs. And what we expect to see is that to move more towards production as the year progresses. So you'll see a little pickup in the advanced sensing segment in terms of a profitability perspective. On the IMS side, they were the ones that benefited from some of the pull forward, if you will, from later quarters in 2024(sic) [ 2023 ] -- so that absorption of the fixed cost really helped that segment margin. So I would think as you look to Q2 and beyond, you'll start to see kind of a pullback, if you will, a little bit on IMS and an acceleration of ASC. And at the end of the day, I do believe both segments will contribute fairly equally to the revenue growth for the year as well as the margin expansion. 
Operator: One moment for next question. Our next question comes from the line of Mariana Perez Mora with Bank of America. 
Mariana Perez Mora: So first one in the South Carolina facility. Could you please like give us some color on how the development is going? What should we expect in the near term? Or what kind of milestones we could be looking at? 
Michael Dippold: Is that South Carolina? 
Stephen Vather: Yes, South Carolina  Yes. We're -- we've signed a lease now. We're just starting the work, as Mike indicated, that the CapEx will start to increase now as the work starts. This is a 2- to 3-year development. The -- as we've said, the focus of this phase is on Colombia and improving the profitability and the efficiency of the Columbia work. And we're in discussions now with the Navy and the shipyards about how we could use is an expansion of this facility to pull more work towards -- in our direction in a way that would allow them to increase the submarine production rate as is the national goal, particularly on the Virginia-Class, but overall, increase the submarine industrial base by redistributing the work between yards and suppliers. This facility could play a key role in that, that submarine industrial based funding that was passed in the supplemental could be a part of that equation as well. 
Mariana Perez Mora: Yes. And that was where my question was finded next. Like considering that the shipyards or ships such a long cycle development effort, how soon could we see some like firm commitment from these parties for this facility to play a role on accelerating and making a more robust shipholding production in the U.S. or even supporting [ OCIS ]? 
Stephen Vather: Yes, some -- was a multistage answer, I guess, is -- I mean, right now, we're building the facility. So that will take 18 months, 2 years. The negotiations with the Navy are ongoing in terms of support for an expansion, I think you could see some results in a matter of months or a year or so, but then you would have to then turn that funding into an expansion of the facility, which would come at the end of the initial build that we're doing. So it's a multiyear midterm prospect in terms of expanding that revenue base that's the overall goal. 
Mariana Perez Mora: And last one from me on M&A. You mentioned you are looking at some companies -- like I'm curious like if you could give us some color on how robust is that pipeline? Is just like couple companies, a handful of companies or doses(sic) [ dozens ] of them? And then when you analyze those companies to your criteria, how many of those deals actually like just like expire or die when you do your due diligence? 
Stephen Vather: It's hard to give you precise numbers. I would say, over the course of the year, we look at -- carefully at dozens of companies and then a modest number of those we go into diligence. And if -- and then if that works out, you would only end up with one or two where you get into the offer stage over the course of the year. 
Operator: One moment for next question. Our next question comes from the line of Sam Struhsaker with Truist Securities. 
Samuel Struhsaker: On for Mike Ciarmoli. Congrats on a pretty nice quarter here. Kind of just building off of the prior line of questioning a little bit. Regarding these kind of delays in the submarine pipeline, do you guys see any maybe more near-term opportunities kind of before that South Carolina facility is done where you guys might be able to take on a little bit more work? In addition to what's already -- what's already kind of happened that might kind of see some more near-term opportunities there? Or would you really just kind of be looking for what you guys just discussed on a slightly longer-term basis? 
William Lynn: In terms of the larger opportunities, which would be new classes of ships, DDGX and SSNX. Those are several years away in terms of real revenue, the international opportunities are a little bit closer in. And the real revenue increase in the immediate term for us is the growth in the Columbia-Class submarine as we move up the curve shift set by ship set. 
Samuel Struhsaker: Right. I guess, while I was kind of getting at more so is, do you guys see any opportunity where kind of some more work might be able to be passed on to you guys within the existing programs which you're on? To kind of try to help aid with these issues getting up to rate by the broader industry? 
William Lynn: Yes. That's what I was talking about with the South Carolina facility is that if you redistribute the work or you moved some of the work that's done now at the yards into our South Carolina facility to allow a higher through at the yards, that would be certainly an expansion of our revenue base. 
Samuel Struhsaker: Got it. And then one more here kind of on the fiscal year '25 budget. Do you guys have any kind of opinion there on how that's looking for you guys, push and takes? 
Michael Dippold: Yes. The '25 budget that dropped. Again, I think as Bill kind of alluded to earlier is that it wasn't really a surprise. And as we look through the funding line items, we feel our programs were pretty well fed. I think that goes to the platform-agnostic approach that we've had and where we align with the modernization priorities, both with the Navy and the Army and the Greater Defense Department as a whole. So we feel pretty good about where we landed in our first [ technical inset ] at the '25 budget. 
Operator: One moment for next question. [Operator Instructions] our next question comes from the line of Jonathan Tanwanteng with CJS Securities. 
Jonathan Tanwanteng: I just wanted to push the guidance from a different angle. Last quarter, I think you mentioned that the lower end of the range was predicated on maybe more extended spending and budgetary issues given that we've seen both the passage of the spending bill on the Ukraine. Bill, would you expect to be more at the midpoint or the upper half of the range now? Just how are you thinking about that, just given the updates to how topo spending is going to play out this year? 
Stephen Vather: Yes. I think the budget passage and the supplementals are certainly a nice occurrence to happen as early as they did. We're going to see how those outlays flow in terms of when you're going to start to see the order flow because of those passages. And if the trends continue in a positive way, that could be a nice tailwind. But right now, we're still targeting towards the midpoint of the guide and are going to see how this plays out for the next quarter or 2. 
Jonathan Tanwanteng: Okay. Fair enough. And then just regarding the pushouts of these more -- the newer platforms and the Navy ships, maybe beyond the end a decade. Can you just tell us maybe what the net change in your opportunity set is? Through the latter half of the decade, you've obviously seen more demand flow in to enforce protection and other things that are going on. Maybe the Navy starts to spend more, as you've indicated, on production of what they have in hand. Is that a net decreasing opportunity through 2030, or that is pretty much static just given the puts and takes? 
William Lynn: The DDGX and SSNX were always at the end of the planning period. So that hasn't really changed our opportunity set. The more immediate opportunities are the growth in Colombia, the opportunities provided by the submarine industrial base and the international opportunities. Those are the things that are in the next 3-4 years, those are what's going to drive growth. 
Jonathan Tanwanteng: Okay. And so, basically, the overall opportunity set hasn't changed even with the pushouts in some places? 
William Lynn: Exactly. 
Operator: This concludes the question-and-answer session. At this time, I will turn the floor back to Steve Vather for closing remarks. 
Stephen Vather: Thank you all for your time this morning and your interest in DRS. Of course, if you have follow-up questions, please don't hesitate to call or e-mail me. We look forward to speaking with all of you again soon. Enjoy the rest of your day. Thank you. 
Operator: This concludes today's conference. You may now disconnect. Thank you for your participation.